Operator: Good morning, ladies and gentlemen. Welcome to the Goodfood Q3 of Fiscal 2025 Earnings Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, July 22 at 8:00 a.m. Eastern Time. Furthermore, I would like to remind you that today's presentation may contain forward-looking statements about Goodfood's current and future plans, expectations and intentions, results, level of activity, performance, goals or achievements or other future events or developments. As such, please take a moment to read the disclaimer on forward-looking statements on Slide 2 of the presentation. Please be aware that during the call, presenters will refer to certain metrics and non-IFRS measures. Where possible, these measures are identified and reconciled to the most comparable IFRS measures in our MD&A. Finally, let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. I would now like to turn the meeting over to your host for today's call, Jonathan Ferrari, Goodfood's Chief Executive Officer. Mr. Ferrari, you may proceed.
Jonathan Ferrari: Thank you. [Foreign Language] Good morning, everyone. Welcome to our Goodfood earnings call in which we will present our results for the third quarter ended June 7. Roslane Aouameur, our Chief Financial Officer is with me today. You can find our press release, presentation and other filings on our website and SEDAR+ and all figures on this call are in Canadian dollars. Let's begin with Slide 3. This quarter marks an important milestone, our tenth consecutive quarter of profitable execution as we look to scale a digital platform designed to build long-term shareholder value in Canada's food and beverage e-commerce landscape. Adjusted EBITDA reached nearly $3 million in Q3 or 8.6% of net sales. On a year-to-date basis adjusted EBITDA stands at approximately $6 million, representing a 6% margin. Despite macroeconomic headwinds weighing on consumer discretionary spending, we have maintained strict discipline on unit economics and operational efficiency. Our strong and consistent margin performance confirms our ability to deliver profitably even in uncertain times. Our product strategy also continues to evolve to meet customer needs. Recent enhancements, including Heat & Eat meals in Quebec and expanded customization features are enabling more convenience and deeper engagement. These customer-driven innovations are driving record basket sizes as more members are choosing to build out their orders with a wide variety of meals and grocery add-ons. We also continued to execute on our capital allocation strategy with Precision, anchored and enhancing intrinsic value per share. Our acquisition of Genuine Tea is proving to be both growth accretive and margin supportive. The brand is growing sales at over 30% annually while delivering consistent and healthy EBITDA. Meanwhile, we have added $1 million to our Bitcoin ETF treasury reserves and our BTC investment generated gains that contributed positively to our balance sheet flexibility this quarter. With those highlights in mind, I will now turn it over to Ross for a closer look at the financials.
Roslane Aouameur: Thank you, John. Let's move to Slide 4 to discuss our topline metrics. Net sales for the third quarter were $30.7 million, down $7.9 million year-over-year though showing some sequential improvement compared to the second quarter of fiscal 2025. The year-over- year decline reflects a lower active customer base 76, 000 this quarter versus 105,000 last year, reflecting both macroeconomic caution lowering order rates and a deliberate reduction in incentive-led customer acquisition to enable our margin-driven approach. While total customers were lower, our targeted approach is yielding higher quality cohorts. Net sales per active customer reached a record $404 this quarter, supported by record average basket size. This reflects the strength of our product offering and customer engagement. We are also deepening wallet share and lifetime value through value-driven personalized experiences. In parallel, we are expanding our profitable B2B relationships with Canadian companies offering Goodfood and Genuine tea products to their employees or cross-marketing select partners, brands and brands through our platform. Now turning to Slide 5 and discussing margins and profitability. Gross profit came in at $13.6 million with gross margin improving to 44.3%, up 30 basis points from last year and 170 basis points from the second quarter. We have maintained margin resilience through disciplined cost controls, reduced promotional activity and continuous improvement in fulfillment and procurement operations. Adjusted EBITDA reached $2.7 million or 8.6% of sales with breakeven net income of $0.1 million. Beyond operational efficiency, we are increasingly making our cost structure flexible to ensure sustainable profitability. Our results, hence reflect strong contributions from lean logistics, SG&A discipline and labor and product cost control. This is the outcome of embedding a cash flow first culture and maintaining financial agility and made a tempered demand environment. Moving now to Slide 6. Cash flow from operations turned positive at $0.6 million this quarter. Adjusted free cash flow came in at $0.2 million, a meaningful improvement over Q2, supported by margin and cost improvements. Capital expenditures were $0.5 million, largely related to the final stages of fire code compliance and kitchen relaunch at our Montreal facility. We expect normalized levels in Q4 and beyond, which should further enhance our cash generation capacity. Our liquidity remains solid with $17 million in cash and marketable securities. With that improved cash flow profile, let's turn to Slide 7 to review how our financial performance continues to support sustainable profitability and flexibility. We are overall pleased with the resilience of our core metrics especially in a tough consumer landscape. Gross margin remained at over 44%. Adjusted EBITDA margin held above 8%, and we posted positive net income and adjusted free cash flow. This performance reinforces our disciplined approach to cost management, capital allocation and consistent EBITDA positive trend, all with the goal of optimizing shareholder return on capital. With that, I will now pass it back to John to walk through our outlook. Over to you, John.
Jonathan Ferrari: Thanks, Ross. Let's now turn to Slide 8. Over the next 6 to 12 months, our focus is clear. We aim to deepen member relationships, expand our differentiated portfolio of meal solutions and strengthen our balance sheet through capital discipline and targeted acquisitions all to build long-term per share value. We are encouraged by the early success of our Heat & Eat offering. Without advertising, this offering has already reached a $1 million annualized revenue run rate in Quebec. The blend of convenience, health and flavor is resonating with our members. With expanded delivery zones and recipe development underway, we are now preparing to scale this line across new markets, supported by growing product market fit, recipe expansion and careful risk management as we scale. Our value plan continues to serve as an effective entry point, driving high conversion and upsell into higher-value recipes. With global cuisine offerings and premium chef design meals, we are meeting diverse needs while maximizing order economics. On the M&A side, Genuine Tea remains a high-performing asset. The brand is expanding into a larger facility and showing strength in both Foodservice and e-commerce segments. Margins remain in the mid-double digits, and it's been a margin accretive contributor to consolidated EBITDA. This acquisition has validated our thesis, founder-led brands that benefit from shared capabilities like fulfillment, logistics and procurement are a scalable growth engine. We are actively reviewing new opportunities with [indiscernible] and are excited about the potential [Technical Difficulty] success. In parallel [Technical Difficulty] reserve continues to serve as dual purpose, hedging inflation and enhancing optionality. We realized gains this quarter even before the recent BTC price acceleration and believe the reserve will continue supporting long-term value creation and remain confident in the optionality it adds to our balance sheet. In closing, we are confident that our customer first margin discipline and innovative -- innovation-driven approach uniquely positions Goodfood to thrive in the years ahead. We look forward to continuing to deliver differentiated experiences to our members and consistent value creation for our shareholders. With that, I will now turn it over to the operator for the Q&A.
Operator: [Operator Instructions] And with that, our first question comes from the line of Frederic Tremblay with Desjardins Capital Markets.
Frederic A. Tremblay: Just on your previous call, you had mentioned that the Q2 active customer count had been impacted by lower seasonal order rate. I'm just wondering if you could maybe give us an update on what you saw in terms of the trends in order rates in Q3 relative to Q2 and if that was still a driver in the change of inactive customer count in Q3?
Roslane Aouameur: Yes. Good question. Fred, I think there's definitely less of the holiday seasonality impact here, which was pretty big in Q2. So I think if you think of order rates in 2 ways, basically, you have the subscriber order rates that convert subscribers into active customers. And that one, I'd say, remains pretty challenged, even in Q2 towards the end of January and February, we saw some declines there, and that part has been stable. But once inactive customer starts ordering, then the order rate is actually higher than it was in Q2, meaning that once someone places an order, they tend to place more orders after. So converting a subscriber into an active customer will be key in continuing to stabilize sales and provide room for growth.
Frederic A. Tremblay: Okay. And then I know we're in the slower summer season now, but just wanted to get your take on when you think we might see some stabilization in the active customer count? And maybe more importantly, what are some of the levers that you think you have to reverse the current trend in active customers?
Roslane Aouameur: Yes, I think, obviously, you mentioned the July -- June, July and August are not the right months to really do that, meaning that people travel a bit of holidays, they eat out more. So there's usually less active customers during that period. December won't be an exception. I think as we move to Q1 of '26 and -- there's both the September back-to-school a bit of an increased marketing intensity but also I think more routine in developing the disimproving platform. I think from the levers perspective beyond the usual marketing lever, sorry, I think there -- there's the initiatives that we're working on, including Heat & Eat. Heat & Eat is now mostly an add-on, meaning that people can add it to their weekly meals, but we are just launching a Heat & Eat plan, meaning that people can order ready to eat as part of a weekly plan where they get recipes, just like ready to cook. So it's currently only in launch stage. But by September, it will be available more and more and more visible. And then I think depending on regulatory approval, accessing the rest of Canada beyond Quebec I think will be also a lever in making Heat & Eat more available across the country. And then I think from a ready-to-cook perspective, there's the Goodfood travel series that provides more of an adventure. There's always partnerships and collaborations that we do that, that provide new flavor and give us sort of a ramp to go end market to folks and both to increase order rates and to bring in new customers. I think maybe lastly on the Genuine Tea side. There's some exciting campaigns coming up, but also generally the periods just pre- holidays is a pretty big period starting with -- just before Black Friday and throughout November and early December. So that will be another lever to both increased overall sales in active customers.
Frederic A. Tremblay: Okay. That's great. And just maybe coming back to the Heat & Eat aspect there. The press release mentioned that, that part of the business is ready for scaling in early fiscal '26. Is that referring to the launch of the Heat & Eat plan? Or is it more of a geographic initiative? And if it's geographic, can you maybe speak to sort of the regions you would target? And if there's incremental CapEx involved with adding capacity and that sort of thing?
Roslane Aouameur: Yes. I think it refers to really 3 facets. The first one is the completion of the CapEx here, both for fire safety and some modifications to the kitchen. That's mostly complete. So that step point to being ready. I think step 2 is geographical. So we're currently only allowed to sell the product in Quebec, given the CFI the regulator has to approve your facility to be able to sell across provinces. And the barriers, we look forward to seeing improved over time. But for now, it's still there. So I think the estimate we were given was sometime in the summer. So we're hoping that by the end of August, we'll be able to have that approval and then be able to target Atlantic Canada and Ontario first. And then shortly thereafter, with a few -- looking at a few options on how to do things out west, there's always the ability to do it from here, but then seeing what the options are over there. And I think we'll share further developments which they come because they may not require CapEx, but if they do, we'll make sure to make that clear, that's not our base plan. So that's -- and then sorry, the last piece of the plan, making it appliance, so making people customers, members having the ability to come on the platform and subscribe to Heat & Eat plan where they get Heat & Eat meals only as part of their plan is sort of the third pillar to how we're ready to scale the offering.
Frederic A. Tremblay: Okay. And last question for me. Just curious on the -- what you're seeing for customer acquisition cost, the trends there? And then maybe just remind us what are your main sort of marketing channels that are bringing you new customers these days? Or is it mainly like social media? Is it sort of now from existing customers? Just curious to see what's driving sort of first-time orders these days?
Roslane Aouameur: Yes. I'll start on the CAC and John will take over on the second part. I think on the CAC, it's been relatively stable and still a meaningful improvement over a year ago. I think it's managing that the CAC curve and making sure that you're investing the right amount of dollars that don't get you into those marginal tax to get higher and reduce really the return you make on the customers you acquire. So I say from a CAC perspective, stable, I think from a scaling of the marketing spend to keep it stable is where we're very, very disciplined. So we're keeping that in check. And then John will talk about the channels and reactivations.
Jonathan Ferrari: Yes. I would say we're constantly optimizing our media mix. We have been leaning into some of the channels like online video that have been performing quite well. And our core focus continues to be on acquiring the highest quality customers. And I think that was evidence through our record sales per subscriber this quarter, which was over $400 per quarter. So the idea is really to make sure that we're optimizing our mix, not specifically for the volume of new customers, but for the quality of the customers that we're bringing in.
Frederic A. Tremblay: Make sense.
Roslane Aouameur: Thanks Fred.
Operator: We have no further questions at this time. I would like to turn it back to Mr. Jonathan Ferrari for closing remarks.
Jonathan Ferrari: Thank you for joining us on this call. We look forward to speaking with you again at our next call.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.